Operator: Good morning. My name is Corey, and I'll be your conference operator today. I would like to welcome everyone to Cronos Group's 2025 Fourth Quarter and Full Year Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. At this time, I would like to turn the call over to Harrison Aaron, Senior Director, Investor Relations and Corporate Development. Please go ahead.
Harrison Aaron: Thank you, Corey, and thank you for joining us today to review Cronos' fourth quarter and full year financial and business performance in 2025. Today, I am joined by our Chairman, President and CEO, Mike Gorenstein; and our CFO, Anna Shlimak. Cronos issued a news release announcing our financial results this morning, which is filed on our EDGAR and SEDAR profiles. This information and the prepared remarks will also be available on our website under Investor Relations. Before I turn the call over to Mike, let me remind you that we may make forward-looking statements and refer to non-GAAP financial measures during this call. These forward-looking statements are based on management's current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. Factors that could cause actual results to differ materially from expectations are detailed in our earnings materials and our SEC filings that are available on our website, by which any forward-looking statements made during this call are qualified in their entirety. Information about non-GAAP financial measures, including reconciliations to U.S. GAAP, can also be found in the earnings materials that are available on our website. Lastly, we will be making statements regarding market share information throughout this conference call, and unless otherwise stated, all market share data is provided by Hifyre. We will now make prepared remarks, and then we'll move to a question-and-answer session. With that, I'll pass it over to Cronos' Chairman, President and CEO, Michael Gorenstein.
Michael Gorenstein: Thanks, Harrison. Cronos delivered a record year in 2025, growing net revenue by 25% organically, underscoring the continued strength of our core business and the progress we are making towards our strategic priority. We achieved record net revenue in the fourth quarter and for the full year, and we delivered record full year gross profit and adjusted EBITDA. These results reflect strong consumer demand for our leading brands and the growing contribution from Israel and our international platform. In Canada, we delivered record quarterly net revenue, up 42% year-over-year with key contributions from flower, vapes and edibles. Spinach continues to be a standout performer in the Canadian market and the second-most popular brand nationally. In vapes, Spinach delivered stellar performance in the quarter. In December, Spinach became the #2 overall vape brand in Canada, rising from the #4 share position in the first quarter of 2025. Within the vape cartridges subcategory, Spinach achieved #1 market share in the fourth quarter with our Cherry Crush and Blueberry Dynamite flavors as the 2 best-selling vape cartridges nationwide. This performance in vapes is a testament to our ability to leverage extensive R&D and consumer insights work to develop market-leading products that strongly resonate with consumers. We're looking to build on this momentum, and towards the end of the fourth quarter, we unveiled Spinach Puffers, our newest innovation in the all-in-one vape device category. Puffers offer bold flavors of high-quality liquid diamond-infused cannabis in a modern palm-style format with a dual ceramic coil for maximum flavor and smooth draws and a uniquely satisfying tactile grip. Puffers initially launched in select markets within Canada with distribution broadening to other Canadian provinces in early 2026. Innovation continues to be one of our biggest competitive advantages, and Puffers is another example of how we raise the bar on product quality, design and flavor. As we continue building loyalty with consumers, our focus remains on creating products that look, feel and taste great, delivering the exceptional experiences that define the Spinach brand. In edibles, Sour continued to deliver strong growth while maintaining category leadership with market share approaching 22% for the quarter. Growth was driven by fully blasted multipacks, which despite having just launched in mid-2025, were 4 of the top 10 selling edible SKUs in Canada in the fourth quarter, including the #1 edible SKU nationwide, reinforcing Spinach's leadership position in edibles and demonstrating the success of our innovation pipeline. In flower, Spinach remained the #4 brand in the quarter with supply constraints limiting growth potential. With the expansion of GrowCo now complete and the expanded cultivation space continuing to get dialed in, we expect these supply constraints to ease in 2026. Turning to Lord Jones. The brand remains the market leader in Canada in hash and live resin-infused pre-rolls, reinforcing its strength in premium formats where quality and differentiation matter most. Earlier this month, Lord Jones launched in Israel with a lineup of curated premium flower offerings featuring cold-cured large buds available in a series of limited-time drops, marking an important step in broadening the brand's presence. Internationally, PEACE NATURALS and LIFT posted another impressive quarter. In Israel, net revenue grew 52% year-over-year, the eighth consecutive quarter of record net revenue for Cronos in the market. PEACE NATURALS remained the top-selling brand in the market based on pharmacy data collected by Cronos, continuing to benefit from strong brand equity, consistent product quality and stellar commercial execution. Outside of Israel, PEACE NATURALS and LIFT drove a strong quarter for our other international markets, with net revenue up 68% year-over-year, led by growth in Germany as shipment timing normalized and demand remains strong. We capped off the year with the December announcement that we entered into a definitive agreement to acquire CanAdelaar, with closing expected in the first half of 2026. CanAdelaar is the largest company operating with the Netherlands legal adult-use cannabis program based on CanAdelaar management data, and is the only industrial-scale greenhouse cultivator within the program. Under the agreement, Cronos will acquire CanAdelaar for upfront consideration of EUR 57.5 million, or approximately $67.5 million, subject to certain adjustments with additional contingent consideration based on 0.5x CanAdelaar's normalized EBITDA in '26 and '27. The Netherlands has a deep cannabis heritage, and its coffee shops, which serve as cannabis retailers are known worldwide to have played a foundational role in the evolution of the legal cannabis industry. The Dutch legal adult-use cannabis program was enacted in 2020 to establish a closed regulated cannabis supply chain in 10 participating municipalities with the start-up phase beginning in the fourth quarter of 2023, and the program officially launching on April 7, 2025. The program is scheduled to run for 4 years from that date with the Dutch government retaining the option to extend it by up to an additional 18 months. The program is well designed and regulated to limit cannabis to responsible levels among adult consumers only, serving as a potential model for other countries. We are committed to the continuity of the program and cooperation with regulators, municipalities and all industry stakeholders to ensure its long-term success. Under the program, all 72 cannabis retailers in the 10 participating municipalities are now required to source their cannabis products exclusively from 1 of 10 licensed producers, including CanAdelaar. Including the 72 cannabis retailers in the program, there are a total of 562 cannabis retailers in the Netherlands based on data from the Dutch government, allowing for a potentially significant increase in the addressable market should the program be eventually expanded to additional municipalities or nationwide. European expansion is an important area of focus for us. And if completed, acquiring a market leader in Europe's largest adult-use cannabis market will allow us to further leverage our investments in borderless products at scale. Combined with a highly attractive financial profile and the expectation for accretion from the transaction, we're excited to bring CanAdelaar under the Cronos umbrella and to build upon the foundation that the company has established. Cronos maintains the strongest balance sheet in the industry with no debt and $832 million in cash, cash equivalents and short-term investments, allowing us to continue investing in growth, innovation and global expansion. Now I'll turn it over to Anna to walk you through our fourth quarter and full year financials.
Anna Shlimak: Thanks, Mike, and good morning, everyone. I'll now review our fourth quarter 2025 results. The company reported consolidated net revenue of $44.5 million, a 47% increase year-over-year. The net revenue increase was driven by higher cannabis flower sales in Israel, Canada and other countries and higher cannabis extract sales in the Canadian market. Gross profit and adjusted gross profit in the fourth quarter were $16.2 million, equating to a 36% margin, a 670 basis point improvement from the 30% adjusted gross margin in Q4 2024. The year-over-year margin improvement was driven by higher average sales prices due primarily to a mix shift to Israel and other countries and higher sales volume. Adjusted gross margin declined from the levels realized in the first 3 quarters of 2025. This was driven by adverse production quality mix at GrowCo, as GrowCo dialed in the expansion as well as an expense timing in Q4 as part of that ramp-up. For full year 2025, adjusted gross margin of 43%, and we would view this as a reasonable margin level for the business. Operating expenses, excluding restructuring costs and impairments, were $22.5 million in the quarter, a modest year-over-year increase of $0.3 million. Adjusted EBITDA in the fourth quarter was $0.5 million, an improvement of $7.7 million year-over-year, driven by higher adjusted gross profit. While remaining positive, adjusted EBITDA was lower than reported in the first 3 quarters of the year, given the gross margin pressures and expense timing. We remain confident in the operating leverage of the business as production stabilizes and scale efficiencies are realized. Turning to the balance sheet and cash flow statement, the company ended the quarter with $832 million in cash, cash equivalents and short-term investments, up $8 million from Q3 2025, driven primarily by positive cash flow from operations before changes in working capital of $18 million and $3 million of proceeds from the sale of Cronos fermentation facility, partially offset by a $7 million working capital outflow, $4 million of share repurchases and $2 million of CapEx spend. In addition to this cash balance, we hold $21 million of loans receivable and $8 million of other investments. In summary, our fourth quarter jump in top line set a net revenue record, setting the stage for bottom line growth in 2026. For full year 2025, we achieved record net revenue, gross profit and adjusted EBITDA, demonstrating continued improvement in our operating fundamentals as we execute against our business objectives. With that, I would like to hand it back to Mike for a brief comment before going into Q&A.
Michael Gorenstein: Thanks, Anna. In summary, we delivered meaningful improvements to our business and financial results in 2025, growing net revenue organically by 25% year-over-year, strengthening our competitive positioning across key markets and product categories. It's important to understand the context of this organic growth relative to our peers. Not only do we grow without acquisition, though most of our peers have ATMs and have been issuing shares to fund their businesses with a strong balance sheet and self-sustaining business, we have an active share repurchase program that led to a declining share count over the course of 2025. Looking ahead to 2026, we continue to be committed to our share repurchase program. We also will be opportunistic and disciplined while evaluating M&A opportunities. CanAdelaar is an example of a transaction that allows us to advance our borderless product strategy and establish a strong foothold in an important market. In addition to new market opportunities, we will also look for strong brands and IP that we can add to our portfolio. We see multiple drivers of continued momentum this year. The expected closing of the CanAdelaar transaction, increased production capacity following GrowCo's expansion, continued growth in our branded products and our increasing presence in international markets. We remain focused on delivering sustainable top line growth at attractive gross margins while maintaining disciplined cost management as we continue to scale Cronos globally and position the business for long-term success. Thank you, and we'll now open the call for questions.
Operator: [Operator Instructions] Our first question comes from Bill Kirk of ROTH Capital Partners.
William Kirk: I was hoping to talk a bit about product allocation coming out of the new GrowCo capacity. How are decisions made of where to send that product? How did it kind of get allocated in 4Q? And are there any considerations like permit timing or things like that, that might change the future allocation from what we see in 4Q?
Michael Gorenstein: Thanks, Bill. I think when -- historically, we've been trying to figure out how to deal from a position of shortage and allocate. And so there's been a balance between how do we make sure that we're keeping a certain level of demand in markets, but also focusing on margin. And I think now that we have more supply coming online, and expect kind of the quality of supply to be consistent with what we've historically had. We'll be able to start filling more product in Canada, but also be a little bit more aggressive in scaling in Europe. So I think in Q4, you saw us trying to get a lot of the new product coming out. So we didn't maybe have the same normal fills we would, but that should go back starting this year to more consistent with what we had in the past with the exception that there's more product available for Canada than we historically had.
William Kirk: Got it. And then, Anna, you talked about go-forward gross margins being similar to 2025 full year levels. What in particular leads to improving gross margin of what you reported in 4Q? Is it more price? Is it better mix? Is it lower costs? And then with the greater sales and scale from GrowCo, why can't gross margin be higher than 2025?
Anna Shlimak: Sure. Thanks, Bill. Yes. So I mean, in Q4, there was a kind of a couple of adversities we faced. So we had some expansion-related production quality mix from the GrowCo scale-up as well as some onetime expenses that flow through COGS due to the ramp-up. So kind of those headwinds has impacted Q4, which we don't expect to have going forward. So that's why we feel like that full year 43% margin range is reasonable for us for the business. Look, I think there's potential for some margin expansion in the future, but we have to really be balanced, right? You could also have margin compression in Europe. We don't really know at this moment, but we feel good about kind of that full year 2025 run rate going forward.
Operator: Our next question comes from the line of Kenric Tyghe of Canaccord Genuity Capital Markets.
Kenric Tyghe: If I could just jump in with a follow-up on the gross margin quickly. I know you're calling out sort of similar levels to full year '25. Just for clarification, would those expectations factor in the close of CanAdelaar? Or is there a potential further upside, and that's perhaps what you're alluding to in your comments about there could be some further expansion through the year? How should we just think about the potential evolution here following up on your earlier comment?
Anna Shlimak: Sure. So my comments were just for Cronos as a stand-alone business, not considering CanAdelaar that it is a profitable business as well with very nice gross margins. So we could see some margin expansion from that. But just from -- more speaking to our business as a stand-alone that 43% go-forward.
Kenric Tyghe: I appreciate the clarification. And then just timing in the quarter, if I could, looking to the revenue and the revenue beat, you did call out that sort of 68% growth in international. I think it was plus 52% in Israel. How much of the revenue beat in quarter was timing shift versus just, call it, pure Q4?
Anna Shlimak: Sure. So some of the -- there was some timing shifts for those international markets outside of Israel going from Q3 to Q4. We had some kind of shipping time as we move into Q4, but the rest is pretty -- our business is growing. So you should expect to see that from us going forward across our markets.
Kenric Tyghe: Great. Sorry, maybe just one quick final one. CapEx, any sort of key initiatives we should be thinking through this year? Or is it reasonable to think that we'd be looking at something less than $10 million on the -- year given the spend in Q4 and what we currently understand your needs or goal will be in 2026?
Anna Shlimak: Yes, I think that's right. I think those are appropriate levels for us going forward.
Operator: Our next question comes from the line of Ryan Neal of TD Cowen.
Ryan Neal: This is Ryan stepping in for Derek. Just want to quickly start on the domestic market. So obviously, you saw Canada was up more than 40% year-over-year. Can you guys just talk a little bit about some of the drivers there? And especially, I know you mentioned in Q3, there were still some softer flower sales due to the domestic supply constraints.
Michael Gorenstein: Yes. I think one of the biggest drivers here is just having additional supply. And I think that's something that you'll see continue to work through. Before this quarter, we've really just been struggling with how to allocate the limited product we had. And I think now that we're starting to have more product come online that allows us to fill existing demand in the markets that we're already in.
Ryan Neal: Great. And then you guys obviously have a pretty large capital base. I'm just curious how you view the current pipeline of potential opportunities and how you might deploy some of that moving forward?
Michael Gorenstein: Sure. I think, first, staying committed to the buyback is an important thing for us. There's a lot that we're looking at internationally. I think whether that falls in the bucket of a new market and is there anything we can do to expand our platform, but also, are there new products, new brands that we can put on our existing platform and get the benefit of expanding those into new markets. So we'll continue to be disciplined and be opportunistic. And as you've seen from 2025, when there's opportunities, we'll certainly act on them.
Ryan Neal: Great. And then I'll just put one more question in here. So curious about some of the innovation you guys are doing. I know you, at last call, mentioned a few launches. How are those trending? And sort of what are the categories that you're seeing the most strength in?
Michael Gorenstein: Yes. I think one that you don't always see sort of immediately, and it's harder to measure, but genetics is a really important one for us. So there's a lot we've been doing over the years, breeding. And I think you're seeing every year the successes that come out of that, and we have some really interesting projects in genetics. So very excited there. Continuing to innovate in edibles is really important for us, keeping sours fresh. But I think that maybe the most exciting one for this quarter, and you'll see showing up in the data in Q1 in vapes, puffers. So it's our all-in-one. We've put a lot of time and work in making sure that this is going to be a big driver for us. And I think you're seeing the early success already. So puffers is, I think, all of us are very excited about right now.
Operator: Our next question comes from the line of Pablo Zuanic of Zuanic & Associates.
Pablo Zuanic: Mike, can you explain in the context of the consolidation we are seeing in Germany, Hifyre, DEMECAN, OGI, Sanity, why Holland was a priority over Germany, especially with the market consolidating and some distributors still being available?
Michael Gorenstein: Sure. I think when I look at Germany, the first thing is, there's still regulatory uncertainty, and you've got some movement that's going through, and we expect in the coming months to get certainty. But I also think when you look at availability of licenses, distribution and opportunity to get into the market, it's there's plenty of opportunity to get in. There are many options there. And I think from a business model perspective, it can be difficult because some of the distributors that you look at buying, well, they have many brands on the platform. So there's a lot of different distribution. And I think you're not sure if you're picking up a business, are you're still going to have that distribution business because you're distributing your competitors. So it's something we continue to evaluate, think about the smartest way that we could deepen our presence in the market, but we thought the Netherlands was much more sort of on strategy. It's a market that without making an acquisition, we would have no way to get in because it's closed as far as import/export. It has its own supply base, its own brand. And we feel like it's not a step towards getting towards adult use and building a brand. It is moving directly into the adult-use market, in a place where you've had a 50-year history of adult-use sales, and we think gets the most brand leverage for any market across Europe, just given the kind of culture and history around the Netherlands coffee shops. And so we thought it just made a lot of sense, and it was a really unique opportunity for us.
Pablo Zuanic: And then just a quick follow-up. Look, I mean, in markets like Australia, we've seen operators, distributors taking control of downstream assets, whether it's clinics or even online pharmacies. We're beginning to see that in Germany apparently, and it's happening in the U.K. I mean, Curaleaf owns a clinic there and an online pharmacy. How do you think about downstream opportunities medium, longer term? Or is that something that you prefer not to be involved in?
Michael Gorenstein: It's a great question. I think we take a really long-term view on any acquisitions and capital spend. And I think it can be market specific, but I'm always looking at where do I think the market is going to end up. And if it's something where it's a more temporary business or we're worried regulations are going to change it, it's something where we prefer to be a customer than an owner of the assets. But if I think it's going to be locked in for longer, and we can model it out and see there's a long-term payback to being an owner versus a customer, then it's something we would consider. And I think it's really market specific, but I do go back to the experience we saw early in Canada. So if it's a market where we think it's going to go adult use or if it's a market where we think that regulations can change what that funnel looks like, it's something we would rather just spend money to help with marketing and demand versus be sort of an owner of that part of the funnel.
Pablo Zuanic: And one last one, if I may. I know this is going back in time, but what lessons can you take from the option you had acquired in PharmaCann, right? You have an option to buy, I think, a stake in the company. And I know that's a while ago, but what lessons did the company learn from that? And how do you think about that lesson as the U.S. begins to reschedule?
Michael Gorenstein: So I cut out there for a minute. I heard what lessons. And could you just repeat the part after that, I apologize.
Pablo Zuanic: Yes, I'm going to repeat. I'm sorry. Yes, I'm going to repeat. No, going back in time, I believe that Cronos had an option to acquire a stake in PharmaCann in the U.S., right? That company hasn't done too well. What lessons did Cronos learn from that? And how does that color you are thinking about future opportunities in the U.S. as that country reschedules cannabis?
Michael Gorenstein: No, it's a great question. I think there's two things that I would specifically point to. The first is that when we did that, it was a little bit of a hedge. If you recall, the timing was around sort of craze around the STATES Act. We didn't -- it was roughly 10% on the option. And part of the reason was we want to make sure we had distribution secured if you had reg move. And so part of that is it's still important. We didn't do a larger stake, and that we were being, I'd say, a little bit more disciplined and controlled. But I think also a bigger part is that you can't really move ahead of regulations. I think what we've seen in this industry is that when you try to be aggressive and move ahead of regulations, it doesn't usually work out. And specifically in the U.S., I think trying to get creative with structures doesn't always work to your advantage and making sure that you have a path to control, and you have ways of operationally being able to pivot when things change is pretty important. So the U.S. is really the market where I think those lessons are going to be most applicable given the federal legality, but size of the business in spite of that, still, I think, extremely important market and something that we monitor and think of other ways to get in, but it feels like until you have the actual opportunity to move in and operate and be able to directly own, it's better to just continue developing the portfolio and building up strength outside of the U.S.
Operator: Thank you very much. This concludes the Cronos Group question-and-answer session. Thank you very much, and you may now disconnect.